Operator: Good morning, ladies and gentlemen and welcome to the CSX Corporation Fourth Quarter 2014 Earnings Call. As a reminder today’s call is being recorded. During this call all participants will be in a listen-only mode. For opening remarks and introduction I would like to turn the call over to Mr. David Baggs, Vice President of Capital Markets and Investor Relations for CSX Corporation.
David Baggs: Thank you, Wendy and good morning everyone. And again welcome to CSX Corporation’s fourth quarter 2014 earnings presentation. The presentation material that we will review this morning, along with our expanded financial quarterly report and our safety and service measurements, are available on our website at csx.com under the Investor section. In addition, following the presentation this morning, a webcast and podcast replay will be available on the same website. This morning, our presentation will be led by Michael Ward, the Company’s Chairman, President, and Chief Executive Officer; and Fredrik Eliasson, our Chief Financial Officer. In addition Clarence Gooden, our Chief Sales and Marketing Officer and Oscar Munoz, our Chief Operating Officer will be available during the question-and-answer session. Let me remind everyone that the presentation and other statements made by the company contain forward-looking statements. You are encouraged to review the company’s disclosure in the accompanying presentation on slide two. This disclosure identifies forward-looking statements as well as the uncertainties and risks that could cause actual performance to differ materially from the results anticipated by these statements. In addition at the end of the presentation we will conduct a question-and-answer session with the research analysts. With about 30 analysts now covering CSX I would ask, as a courtesy for everyone, to please limit your inquiries to one primary and one follow-up question. And with that let me turn the presentation over to CSX Corporation's Chairman, President and Chief Executive Officer, Michael Ward. Michael?
Michael J. Ward: Well, thank you David and good morning everyone. Yesterday, CSX reported fourth quarter earnings per share of $0.49, up 17% from $0.42 in the same period last year. This represents a new fourth quarter record for the company. Revenue grew 5% in the quarter to $3.2 billion, also a fourth quarter record with broad based growth across nearly all of our markets, reflecting continued economic momentum. Furthermore, the timely addition of operating resources enhanced through the peak and supported strong volume growth. As a result operating income increased 11% to a new fourth quarter record of $901 million and the operating ratio improved 140 basis points to 71.8%. This quarter's performance is further evidence of CSX's ability to capitalize on economic growth thus helping to drive strength across the company's diverse markets. Turning to the next slide I'll discuss our full year performance. The past four years have been transformative for CSX and we have emerged a stronger company for our customers and shareholders. That strength drove new full year records in 2014 for revenue at $12.7 billion, operating income at $3.6 billion and earnings per share of a $1.92 and the operating ratio remained essentially stable at 71.5%. That's an extraordinary testament to the work of the CSX employees because it follows a period during which we lost nearly $900 million of coal revenue as the country transitioned through changes in the energy sector. At the same time the diversity of CSX's business mix generated revenue more than offsetting these coal losses. That growth combined with inflation plus pricing, efficiency gains, and cash deployment for share buybacks generated modest earnings growth for the shareholders during this transition period. These financial results are continued evidence that the company's employees, core strategy and diverse business mix can create sustainable value for shareholders even in an evolving and challenging business environment. With strategic infrastructure investments, locomotives and operating employees coming online, we expect service levels to gradually improve throughout 2015 to superior levels. With that I'll turn the presentation over to Fredrik, who will take us through the top and bottom line results in more detail. Fredrik?
Fredrik Eliasson: Thank you, Michael and good morning everyone. Let me begin by providing a summary of our fourth quarter results. As Michael mentioned, revenue increased 5% versus the prior year on 6% higher volume, driven by broad based strength across merchandise, intermodal and coal. Expenses increased 3% versus last year, driven primarily by higher volume and included a $39 million G&A workforce reduction charge. Operating income was $901 million, up 11% or $88 million versus the prior year. Looking below the line, interest expense and other income were slightly favorable versus the prior year period and income taxes were $284 million in the quarter, reflecting higher pretax earnings for an effective tax rate of approximately 37%. Overall, net earnings were $491 million and EPS was $0.49 per share, up 15% and 17% respectively versus the prior year period. Now let me turn to the market outlook for the first quarter. Looking forward, we expect a positive demand environment in the first quarter with stable to favorable conditions for 96% of our markets and unfavorable conditions for the remaining 4%. Looking at some of the key markets chemicals is favorable as we continue to capture opportunities in the domestic oil and gas industry. Housing starts are expected to rise considerably in 2015, which should drive a favorable outlook across our construction markets, forest products, minerals and waste and equipment. Automotive is favorable, driven by growth in North American light vehicle production and the recovery of volume lost to trucking last year. Strong intermodal growth will continue as our strategic network investment supports highway-to-rail conversions. We expect domestic coal volume growth will be strong in the first quarter attributable to cycling weaker first quarter 2014 volume and a new iron ore facility. Export coal volume is expected to be significantly lower in the first quarter, reflecting continued soft global market conditions. For the full year our best estimate at this time is around 30 million tons. Overall we anticipate high demand levels for our service will continue in the first quarter. Turning to the next slide, let me talk about our expectations for expenses in the first quarter. Beginning with labor and fringe, despite G&A workforce reductions we expect first quarter average headcount to increase sequentially by 1% as we continue to ramp up operating employees to accommodate higher volume. This represents a 4% increase versus the prior year. We expect 2015 labor inflation to be around $35 million per quarter in the first half and then moderate to around $25 million per quarter in the second half. This represents an increase from the $29 [ph] per quarter level seen in 2014, driven by union wage inflation and payroll taxes. The union component is consistent with what you should expect to see across the industry as a result of national bargaining and reflects both the carryover of the July 1, 2014 wage increase as well as the January 1, 2015 increase. In addition you will recall that we amended a locomotive maintenance agreement in June of 2014, which resulted in a $15 million shift between labor and MS&O expense lines in both the third and the fourth quarters. This trend will continue in 2015 and we will be cycling the expense shift during the first half of the year. Looking at MS&O expense we expect the first quarter to be driven by inflation and volume growth in line with the trend seen during 2014. Fuel expense in the first quarter will be driven by lower cost per gallon, reflecting the current price environment, higher volume and continued fuel efficiency through technology and process initiatives. We expect depreciation to increase around $10 million versus the prior year in each quarter in 2015. This reflects the ongoing investment in our business partially offset by an asset life study conducted in the fourth quarter. Finally equipment and other rents in the first quarter is expected to increase year-over-year driven by higher freight car rates and incremental volume. Now let me talk about our capital investment plan for 2015. In 2015 CSX plans to invest $2.5 billion in our business. This represents a moderate increase from the 2014 level and core investment is expected to be about 17% of revenue. In the chart on the left you can see that about half the capital investment will be used to maintain core infrastructure to help ensure a safe and fluid network. Equipment investment in locomotives and freight cars ensure CSX has an appropriate level of rolling stock to support commercial demand and improve on time performance levels. In addition we will continue to focus on strategic investment to support long-term profitable growth and productivity initiatives. In 2015 we are prioritizing infrastructure projects that will increase line of road capacity on the northern tier to improve fluidity and system velocity. Finally looking at our investment in Positive Train Control, we have invested $1.2 billion through the end of 2014 and plan to invest an additional $300 million in 2015. As the implementation of PTC extends over a longer period of time we anticipate spending at least $400 million beyond 2015. As a result our current estimate for the total cost of PTC is at least $1.9 billion. Now let me wrap up on the next slide. Overall CSX delivered solid financial performance in 2014, with robust volume growth offsetting the impact of last year’s weather, network performance and a weak coal pricing environment. We continue to see broad-based strength across our diverse business portfolio and the strength is translating into more visible and more meaningful earnings improvements. CSX achieved double-digit earnings growth in both the third and the fourth quarters and incremental operating margins expanded throughout the year. For the full year 2015 CSX still expects to achieve double digit EPS growth. Even as we cycle strong 2014 volume growth we expect merchandise and intermodal to again grow at a faster pace than the broader economy. We continue to target pricing above inflation as capacity remains tight across all modes of transportation and we expect to deliver productivity savings approaching $200 million in 2015. Domestic coal volume should remain relatively stable in 2015 while the export coal market remains challenged. That said we will be keeping a close watch on natural gas prices and heating and cooling degree days as we move through the year. Finally we expect margin expansion to resume in 2015 which reflects improving service levels, a strong pricing environment and continued economic expansion. Over the longer term we continue to target an operating ratio in the mid-60s. With that let me turn the presentation back to Michael for his closing remarks.
Michael J. Ward: Thank you, Fredrik. The strong 2014 demand reinforced the importance of freight rail industry and CSX in supporting the global supply chain and American competitiveness, the economic and environmental benefits of freight rail network increasingly serve a country with a growing population and a critical need for transportation infrastructure. To continue delivering these benefits and creating value for its shareholders CSX has transformed itself by forging new capabilities aligned with opportunities in energy, manufacturing, agriculture and global commerce. We are generating record results by leveraging the most diverse business risk -- business mix in the company's history with new opportunities across nearly all of the markets we serve. We remain focused on executing our core strategy of delivering service excellence for our customers, which drives our ability to grow merchandize and intermodal businesses faster than the economy, twice above the inflation and continue to drive improvements in asset utilization. The company is poised for a bright future of strong financial returns and expansion and we thank you for your ownership of and interest in CSX. Now we'll be glad to take your questions. 
Operator: Thank you. We will now be conduction a question-and-answer session. [Operator Instructions]. The first question is from Tom Wadewitz with UBS.
Michael J. Ward : Good morning Tom. 
Thomas Wadewitz : Good morning, Michael, Fredrik, David. Wanted to see if you could talk a bit about utility coal and I guess your visibility to stockpiles. And also how much risk you see if natural gas prices stay at current levels or go below in terms of switching from coal to gas and how that might effect?
Clarence W. Gooden: Good morning, Tom. This is Clarence. 
Thomas Wadewitz: Yeah, hi Clarence. 
Clarence W. Gooden: We see the stockpiles, both in the north and the south are pretty much where we expected them to be. They're at normal levels, in both the north and the south. We think the comps in the first quarter will be very favorable for us, when you look at the -- what the weather was last year versus what the weather is this year. Yes, these gas prices stay where they are now, which are around $3 or sub $3 there could be some downside risk out in the quarters two and three from what we have planned. But for right now it looks to us like the rest of the year should be around flat going forward. 
Thomas Wadewitz: Okay, great. And then the, I guess the follow-up question we had such a dramatic move in oil prices. I think it's hard to get your arms around where, what the impact could be across your book. Obviously there could be some risk accrued by rail or frac sand and pipe and so forth. But I guess given what you see right now, if you look to the second half of the year would you expect that to come through and drive weakness in those areas or how would you look at, maybe not just first quarter but out a little bit more in terms of effective lower oil prices on your book of business. 
Michael J. Ward : Right now, as we look out through 2015 we don't see any significant impact at all in our crude oil by rail into the eastern markets and certainly in our frac sand markets where we're moving into the Utica and the Marcellus area, where the natural gas and the natural gas liquids are we don't think it will impact the frac sands that we're moving into those areas at all. 
Thomas Wadewitz: Okay, great, thanks for the time. 
Operator: Thank you. The next question is from Allison Landry with Credit Suisse.
Michael J. Ward : Good morning Allison.
Allison Landry: Good morning. Thanks for taking my question. Following up on Tom's question, how are you thinking about the sort of broader economic tailwinds that result from lower oil prices and if we think about as an area where, let’s just say for arguments say that we have crude and anything shale related evaporates. How we think about where you could see upside in intermodal or some of your other lines of business? 
Michael J. Ward : Allison, we feel very positive about it. There has been some studies that come out that essentially only ten states have employment that’s directly impacted by the oil boom, is less than 2% of the U.S. population. For us the crude by rail is less than 2% of our business. It -- for the average U.S. tax -- U.S. person it’s like a tax break of almost $2000 a year. So puts a lot of dollars into the economy. From any indication that we see it’s a positive experience for the American tax payer, for the American economy. So I think lower crude oil prices is a very positive for our economy and very positive for CSX. 
Allison Landry: Okay, great. And then as my follow-up question, the $200 million of productivity gains, that's quite a bit higher than what you’ve generated in the last few years, which has averaged, I think $130 million to $140 million. Is this inclusive of the incremental or unusual weather expense that you saw last year or is that sort of on top of the $200 million? 
Oscar Munoz : Allison, this is Oscar Munoz. I think a portion of that number is weather, although not as significant as you might think, probably 15% of that number roughly. 
Allison Landry: Okay.
Fredrik Eliasson: So to clarify on the $200 million, so what we have is the operation’s normal target of about $130 million to $150 million plus we have about $50 million that is linked to the G&A workforce reduction program, that we outlined, the severance charge in our fourth quarter. 
Allison Landry: Okay. And then the rest could be weather?
Fredrik Eliasson: Part of the operations, productivity savings is to cycle what we cycle last year.
Allison Landry: Okay.
Fredrik Eliasson: As Oscar outlined. 
Allison Landry: Okay, great. Thank you so much.
Operator: Thank you. The next question is from Rob Salmon with Deutsche Bank.
Michael J. Ward : Good morning Rob.
Robert Salmon: Hey, good morning guys. As a follow-up to Allison's question, could you give us a sense in terms of what sort of network, how you're expecting the network to return to normal, and what sort of key velocity and what metrics we should be looking for as you're thinking about that $200 million? 
Michael J. Ward : Thanks Rob. So the productivity initiatives are broad and across a lot of different aspects, volume absorption, specific initiatives from the weather, winter, sort of overlap. But I think if you think of the incremental resources that are coming on line it's going to just re-establish the discipline that we've had over the past three or four years around the internal operations of both scheduled and the unscheduled networks. And specifically while velocity would be a bit of a lagging indicator as we dwell on the public measures you see, I think dwell in particular will be a key metric to watch. Internally we have intermediate and home terminal dwell that we're monitoring, but I think the dwell, I think will be an area that you can focus on and that when it stops dwelling there it increases cost in a big way and that'll be the first focus and benefit from the incremental resources. 
Robert Salmon: That's helpful and did you guys quantify the savings expectations for the employee management, workforce reduction program and was any realized in the fourth quarter?
Michael J. Ward : So the estimate is about $50 million for the overall program which labor is the largest part of that but there is also some other MS&O savings and to the question around if anything was realized on the fourth quarter, no none was realized really in the fourth quarter. 
Robert Salmon: Perfect. Thanks for your time guys.
Operator: Thank you. The next question is from Thomas Kim with Goldman Sachs. 
Michael J. Ward : Good morning, Thomas. 
Thomas Kim : Good morning. I just wanted to ask about the fuel surcharges. If we go back through history, the last time oil prices collapsed the way they did, your recovery was quite effective in capturing the fuel cost savings. And as we look forward to this year with obviously the precipitous drop, do you think that your fuel surcharges are well placed to ensure that you're able to fully sort of neutralize the impact of lower surcharges with the drop in fuel?
Fredrik Eliasson: This is Fredrik. Yes we do think we have a fuel surcharge mechanism that is effective. It's not a profit driver but it makes us neutral to fuel price volatility. There are periods such as when the prices decline that we get the lag benefit which we saw here in the fourth quarter and likewise when fuel rises our fuel surcharge mechanism lags a little bit. So we have a little bit of detriment there. But overall the fuel surcharge is working well and we think that we are neutral to any sort of price volatility with the exception of the lag effect. 
Thomas Kim : That's great, and that's very helpful. And I guess just in terms of this decrease, obviously certainly beneficial for customers. How do you think this helps you in terms of your ability to push through higher GRIs during the course of the year versus some general pricing?
Clarence W. Gooden: Well, Thomas, this is Clarence. I think it's positive for us. It's less cost obviously overall in the package to the customer. So as we push for our price increases it makes it more powerful as we go to the customer and the overall package.
Thomas Kim : Great. Thanks very much. 
Operator: Thank you. The next question is from Bill Greene with Morgan Stanley.
Michael J. Ward : Good morning, Bill.
William Greene: Hi. Good morning. Clarence, can I ask you to follow-up a little bit on that pricing comment. So I would guess that we are going to start lapping some of the big export coal price declines, so that's going to make our comps, I would think a bit easier in '15 and of course the overall market is a lot stronger, particularly on the truck side. So I think that would be helpful to your pricing dynamic. So is there any flaw in the logic to think that pricing for CSX in ‘15 should be stronger than it was in ‘14. 
Clarence W. Gooden: No, I think you're absolutely correct. I think you'll see much stronger pricing in ’15 than you did in '14, absolutely. 
William Greene: Okay so and then maybe for Fredrik or for Oscar, as we think about the cost structure in so far as volumes disappoint us this year, so they're unexpectedly weak, how much of your cost structure is variable, how much can you sort of tweak that $200 million higher if you had to and how much is more fixed such that as you dedicate these resources, locomotives, employees to move the current volume, we run the risk that we create a higher fixed cost structure in the second half, let's say. 
Fredrik Eliasson: Well, and I think if you go back to 2008-2009 timeframe, you can see what we did there, which was pretty remarkable in terms of variabalizing the cost structure. And in this scenario that we don't think that you're going to be -- you're correctly predicting or forecasting but if volume will be softer than we are currently anticipating we do have the opportunity to take cost out more than what we have in the current plan. And we have proven that in the past that our cost structure is more variable than perhaps might some people might think. 
William Greene: Yeah, I think helpful to note that volume is not [inaudible].
Fredrik Eliasson: Correct.
Oscar Munoz : And we're answering a hypothetical question, Bill. I know specifically when you think of crews and locomotives, our most expensive aspect of that, I've got roughly a 1000 people in the pipeline and I've got roughly a 1000 people potential attrition. So that I think offset in itself and then on the locomotive side we've got least returns that we can work through. So I think citing back to the old days of '08, '09 when we sort of did the math and proved the variability that has come into this industry. So we monitor that very closely. 
William Greene: Yeah, no, things look stronger obviously. It's more just folks worried if, is the oil price indicative of some weakening that’s bound down to come. So just trying to think through what your flexibility is. Thanks for the time. 
Operator: Thank you. The next question is from Ken Hoexter with Merrill Lynch.
Michael J. Ward : Good morning, Ken. 
Ken Hoexter: Good morning. Just a quick question on export coal, can you, guys can you talk about what is left on contract within the export side and what is still variable, just looking at the market rate it just seems like stuff that export coal side just shouldn't moving at these prices. So maybe just some thoughts on the export side. 
Michael J. Ward : Well, we have about 40% of the export contracts are currently -- export coal movements are currently under contract. The rest of it is up for negotiation. That answer your question?
Ken Hoexter: Yeah, is that kind of typical at the 40% or is that obviously increasing amounts coming on too?
Michael J. Ward : I would say that's fairly typical this early in the cycle. Most of those are metallurgical contracts, as you're aware tend to go more on quarterly basis, but still tend to follow traditional line of thinking, which pretty much settles in March April. 
Ken Hoexter: Okay and then just a follow up on the service metrics issue. You hit on the dwell and velocity. Oscar can you talk about the on-time performance, just seems like it continues to remain at that 50% level. What needs to happen to get that back, is that decreasing congestion, is it just fixing something, getting more locomotives and crew. Can you walk us through that a little bit?
Oscar Munoz : Yeah, we really are down to that point, Ken and locomotives are the biggest, last sort of aspect of this and we've got 200 over the course of 2014 and roughly 100 here in the first quarter, another 150 or so in the second quarter and our service measures and lot of things will be almost pretty significantly correlated to the arrivals of those locomotives. Crews have been trickling in over the course of the year. So we're in pretty decent shape there. It is a power issue up against this great volume that we're getting. It's important to know we are in essence open for business. Our fluidity has gotten a little bit better across the network. Our cost structure is improving. I mean the span around our misses is a little bit narrower. We got crews and locomotives coming online, and the infrastructure that we've been building has improved fluidity. So we're feeling good about where we are starting the year. 
Ken Hoexter: Wonderful, appreciate the time.
Operator: Thank you. The next question is from Brandon Oglenski with Barclays. 
Michael J. Ward : Good morning Brandon. 
Keith Mori: Hi good morning. This is Keith Mori on for Brandon. Could you give us an idea of the cost associated with improving service levels this quarter tied to the recovery? And kind of when should we think these costs start to go away? Oscar you mentioned that service levels are starting to improve, the cost structure starting to improve, should we start to think that’s a first half event?
Fredrik Eliasson: Yeah, so this is Fredrik. I think if you go back to the third quarter we were somewhere around $15 million to $20 million, so what we call service-related cost, the network wasn’t -- the performance level we wanted, the fluidity wasn't there, so extra overtime and equipment rent and so forth. Here in the fourth quarter probably pretty similar to that and as Oscar outlined as we get the additional locomotives we should see the fluidity improve and therefore see reduction in overtime and improvement in our equipment rents et cetera and that’s going to come gradually. I think it’s unrealistic to think that it’s going to be meaningful here in the first quarter because while the weather has cooperated so far we are not through it yet and generally that slows things down but as you get to the second quarter and we get the brunt of the equipment specific to the locomotives that we are expecting, I think at that point and late in the second quarter I think you should start seeing some significant improvements.
Keith Mori: Okay. And I guess the follow-up, what kind of inspired kind of the recent workforce reduction program? When you look across the operations are there any other strategic initiatives that you can kind of point to or talk about that are similar type cost impacts?
Fredrik Eliasson: Well, I think in terms of the G&A workforce reduction, it simply was an opportunity for us to streamline some functions, stop doing some of the things that we has been doing and just process changes allowed us to be little bit more aggressive there. We’ve had a program in place for six, seven years now to try to offset inflation. We have been able to do that but this was just a way to be a little bit more aggressive on that side. We, through the pipeline of productivity initiatives that we have as a company not just for ‘15 and ‘16 and ’17, where we try to get that $130 million, $150 million a year. We continue to work very hard. That’s a big part of the value equation for CSX and has been over the last decade. It’s going to continue to be over the next decade.
Keith Mori: All right. Thank you for the time.
Operator: Thank you. The next question is from Chris Wetherbee with Citi Research.
Michael J. Ward: Good morning, Chris.
Chris Wetherbee : Hey, good morning guys, thanks. When you think about the double-digit earnings growth for 2015 and you look at sort of the various buckets of the opportunities that are presented, where do you think sort of the potential risk could come from? Clarence you talked about the domestic coal side sort of up in the first quarter and I guess implies sort of down in 2Q, 3Q and 4Q based on flat for the full year. Does it come from there if natural gas prices stay at these levels or dip down? I guess I just wanted to get a rough sensitivity of the variability of the model. I know you talked about costs too. So just some color there would be great.
Clarence W. Gooden: Sure, I mean with any plan that you put together there are challenges and there are opportunities and I would say that the challenges that we are seeing is on the coal side and on the crude side right now. We feel that on the domestic side that while we think flat is the right place to be, there is probably more down side then upside to that. Export we outlined that we expect export volumes to drop close to 25% for the year and crude, while we are not hearing from our customers that there are any change in the shipping patterns, clearly we are monitoring that closely as well. But if you look at the opportunity side, I think you have heard about our productivity initiatives close to $200 million. We expect to grow our non-coal business faster than the economy as a whole and the pricing environment continues to be -- to get stronger and stronger frankly. So when you add all that up we feel that double digit is the right place to be, it’s -- nothing is ever slam dunk because it wouldn’t be meaningful guidance if it was, but it is something that we think we can achieve.
Chris Wetherbee : Okay, that’s helpful. And just a follow-up, just thinking about the pricing dynamic that you just mentioned certainly it seems like it’s firming up into ’15. When you think about intermodal and the relationship to truck with declining fuel surcharges, it would still seem that there is the ability to price that business up at a reasonable pace given what’s going on in the truck market but just wanted to get some rough sense do you feel it’s tapped to some extent if we see diesel prices continue to fall from where they are currently?
Clarence W. Gooden: Chris, this is Clarence. I think there is a very positive trend in the intermodal pricing. We see that the truck issue still remain there even with the 34 hour rule that’s been turned back. There is capacity issues, there is driver issues. Even with class A truck orders being up there is still the issues of being able to get the drivers to move the business. So we think there is a lot of pricing opportunities in intermodal itself.
Chris Wetherbee : Okay, perfect. Thanks for the time guys. Appreciate it.
Operator: Thank you. The next question is from Ben Hartford with Baird.
Michael J. Ward : Good morning, Ben.
Benjamin Hartford : Hey, good morning, guys. Just turning the attention to longer term margin outlook in the reiteration there, a lot of focus on ‘15 but if we can put ‘15 aside, what is contemplated in terms of, I guess maybe what’s required to get to the mid-60s, target long term, if you could speak in kind of broad strokes as it relates to coal and crude, and then base pricing and productivity gains and service normalizing and those types of items. I mean how are you thinking about the calculus to get to that mid-60s target. 
Fredrik Eliasson: Yeah, this is Fredrik. Clearly we expect to start moving towards that mid-60s here in 2015, after having absorbed that close to $900 million of coal loss over the last couple of years. And we are going to make some meaningful improvements towards there. Now if we think about the three components it’s ultimately price, volume and productivity, the last decade it was more probably price and productivity and as we think about the next decade, I think it's going to be more evenly split between the three, as we continue to see good volume opportunities for us. We continue to have a strong healthy pipeline of productivity initiatives, not just for 2015 but in the years beyond that as well. And then pricing environment after having been a little bit slower over the last couple of years I think it's becoming more vibrant as well. So the three of those components together we have continued good cash deployment, of the free cash flow is the way we get there. It's continuously the sort of blocking and tackling that we done over the last couple of decades that got us from the kind of the high 80s down to the low 70s. We're going to continue to push that going forward. 
Benjamin Hartford : There’s a couple of specific questions, does it require a strengthening of the pricing environment from current levels, one? And two from a coal standpoint does it require any improvement in the coal markets relative to whatever the base line is for '15. I guess those are the two key concerns in terms of the sensitivities that we have. 
Fredrik Eliasson: Yeah, I think we're going to try to stay away from too much of the detail around specific pieces, because generally I said before, whenever we put a plan together, I think it will be obsolete as soon as you put the plan together. But in terms of pricing specifically, inflation plus pricing is critical to everything that we do. We are not necessarily banking on coal, on the domestic side coming back significantly from where it is today. It would be nice to see but that's not necessarily anything we're banking on. Export coal we're in a down cycle at the moment and two years from now who knows what it's going to be. But we think there is enough other factors within our business to drive that earnings growth without just focusing too much on the coal business itself. 
Benjamin Hartford : Okay, that's helpful. And then real quick, if you can, just a clarification on the tax side, what are you assuming for a tax rate for 2015?
Fredrik Eliasson: Yeah, generally we see a tax rate that’s right around 37.5%, was a little bit lower this quarter because there is some tax credits that we got, but generally about 37.5%. 
Benjamin Hartford : Okay, thank you. 
Operator: Thank you. Our next question is from Cherilyn Radbourne with TD Securities.
Michael J. Ward : Good morning, Cherilyn. 
Cherilyn Radbourne: Thanks very much and good morning. It was fairly nice to see your pricing improve sequentially. And I just wonder, given the nature of the contracts you have in place, how long should we expect it to take before that tightness in transportation capacity which really emerged in Q2 '14 is more fully reflected in your same store pricing?
Michael J. Ward : Well, our pricing is -- thank you for noticing by the way they improved sequentially. It's like sometimes watching paint dry to watch those numbers go up. I think you're going to see it improve sequentially each quarter going forward. We have momentum in it. We are constantly watching what happens in that pricing. About 20% of our contracts will renew in the first quarter. We expect to get very strong pricing in the first quarter as the year progresses. I think you will see it improve sequentially in each of those quarters, particularly in our non-coal business. 
Cherilyn Radbourne: Okay, that’s helpful. And just a quick follow-up, your quarterly materials mentioned that resource constraints impacted your ag shipments in Q4. Just curious whether there were other areas where you missed out on the full volume opportunity because of resources. 
Michael J. Ward : Mainly in our ag business and in our aggregates, our stone business. We were constrained in both of those areas in the fourth quarter. That has improved significantly here in the first quarter. Our aggregate business in the first quarter, except in some of our northern areas where it's been weather impacted has significantly improved as well as in our ag business. 
Cherilyn Radbourne: Great, thank you. That's it from me. 
Operator: Thank you. The next question is from David Vernon with Bernstein. 
Michael J. Ward : Good morning, David. 
David S. Vernon : Hi, good morning and thanks for taking my question. Hey, Fredrik, as we -- given what we know right now about fuel prices and obviously given the outlook for kind of flat domestic and down export coal, would you expect full year revenue in '15 to be up or down relative to '14. 
Fredrik Eliasson: I would expect it to be up but and clearly that depends on ultimately what you think about the fuel itself. But we do expect, as we said, our overall merchandise and intermodal business to grow faster than economy as a whole and domestic to be flat and the export coming down. But I still think we have an opportunity to grow the revenue. The key part here is that fuel surcharges really pass through for us. So even if the overall revenue number comes down because of fuel surcharge, really it doesn't impact the bottom line except for the lag as I said earlier. 
David S. Vernon : Okay and then maybe just as a quick follow-on, how does the service metrics and stuff like that play out in the pricing environment. Obviously Clarence you've sort of made the point here that you’re expecting pricing to accelerate next year. Is that in line with the service recovery or you're expecting to be able to kind of take that rate up, kind of independent trucks maybe getting modally competitive and the service level still being weak. 
Clarence W. Gooden: I think the answer is yes to both questions. I think just the overall capacity issues in all of the modes of transportation, whether it’s barge, truck or rail has given us a positive pricing environment and certainly as our services improve, and I'd like to point out that we had a point of inflation last summer. Our service has been continually improving since last summer. In fact this fall, in our fall peak we had an excellent fall peak with UPS for example being one of our prime premium service partners. Our service has been continually improving and that makes it much easier for our sales force to go out and get the rate. 
David S. Vernon : All right. Thank you.
Operator: Thank you. The next question is from John Larkin with Stifel Nicolaus.
Michael J. Ward : Good morning John. 
John G. Larkin: Hey, good morning gentlemen. Thanks for taking the question. Just with the service levels having remained stable but maybe not where you’d like to see them or your customers would like to see them, what was the decision thinking behind keeping your CapEx just a little bit greater than last year. There was one railroad in the west that dramatically increased their CapEx. Why didn't you decide to do that to try and accelerate the service recovery?
Michael J. Ward : Well, I think we took it up slightly and that's really a reflection of the fact that we do need to get the power and that's where the biggest area is now for opportunities to make an impact on the service recovery. So maybe we could have got more locomotives but the reality is that we can't get more locomotives right now and but even with the locomotives we're getting and our internal repair opportunity, because we do have a fair amount of locomotives internally that we're bringing back in revenue service that perhaps other railroads might not have that opportunity and that's a cheaper form of capacity than buying new ones. 
John G. Larkin: Got it. Thanks. And then as a follow-on to the service related issues, some of the service problems I guess are caused by issues beyond our control, i.e. all the connecting traffic over Chicago. Can you talk a little bit about how Chicago is operating now and how the railroads have worked together to try and increase the fluidity over that critical hub?
Oscar Munoz : Hey, John, it's Oscar. We've had knock on wood, a good almost 11 plus weeks where Chicago has been on what we call a normal alert level and so that's the good news. The communication and coordination that you referred to and we've always known it's been critical, it's been ramped up, both at the most senior levels of the industry but also at the local level, with that Chicago terminal coordinating office and the efforts around that. And so everybody is working closely around that. We've been -- we've had a couple of fits and starts. Chicago was incredibly cold last week, we mustered through that. We all take our turns in the barrel, been a little struggling through various interchange points, by and large the entire industry is working very closely and very well so far with that. Now next few weeks will test us again and of course when volume returns here in the spring peak, week nine or so, we're focusing on that, but so far so good John. 
John G. Larkin: Appreciate it. Thank you. 
Operator: Thank you. The next question is from Bascome Majors with Susquehanna Financial.
Michael J. Ward : Good morning. 
Bascome Majors: Good morning. You've talked before about the intermodal margins in your portfolio rising to a level fairly in line with the rest of your business with the exception of coal and chemicals. Can you just give us a little update on where intermodal margins are tracking directionally versus your other businesses today and whether or not the big drop in diesel price is going to impact the profitability of intermodal going forward? 
Fredrik Eliasson: This is Fredrik. Yes, so if you look at the margins, when you exclude chemicals and coal it's pretty much in line with the rest of our merchandize business. Because of the fuel surcharge that we have in place in the intermodal business that essentially mirrors the trucking industry, when you see price volatility, when prices come down as they have done here on the fuel side, what happens is not so much that this is a volume play for the industry, it’s really the fact that our margins in intermodal gets a little squeezed, because we are more fuel efficient, so more of the dollar from fuel surcharge in intermodal goes to the bottom line; net-net for CSX that's not the case, but just on intermodal business itself. So there is some margins squeeze when fuel comes down but it's not significant and if the statement that it’s in line with the rest of our business is still a true statement. 
Bascome Majors: Okay Thank you for that color and just one question on export coal and other pricing comps get much easier year-over-year as we go forward. What do you expect sequentially in 1Q as we think about your business?
Michael J. Ward : What do we expect sequentially in…?
Bascome Majors: In export coal pricing?
Michael J. Ward : As far as the pricing goes we think it's going to be flat. 
Bascome Majors: All right. Thanks for the time guys. 
Operator: Thank you. The next question is from Jeff Kauffman with Buckingham Research.
Michael J. Ward : Good morning Jeff. 
Jeffrey Kauffman: Good morning, everybody. Thank you for taking my question. Mike, I have a question about a comment you made on your CNBC interview yesterday, where you had mentioned that the suppliers that you were working with out of Bakken to ship the crude by rail to the East Coast, you had thought that at $35 oil that they could be competitive. You obviously understand a little more about this than we do. Could you help us understand, because you mention the frac sand volumes were just fine, the crude by rails moving fine, what gives you confidence that you would continue to see these types of volumes at $35 crude? 
Michael J. Ward : Well, we don’t want [ph] start at $35 but we think they could continue at the existing facilities to be competitive. As you know once you made that investment you can get back in their refractors and get additional -- without additional huge capital outlays. So we think that this short intermediate term which certainly includes all of '15, we think that these shipments we've been seen roughly 3.5 trains per day continues and maybe even rose a little bit. Longer term, if the prices stay at those levels there is questions whether the capital will go back in for new facilities, Jeff. 
Jeffrey Kauffman: Okay, no, I just wanted some clarity on that. Mike thanks so much and congratulations. 
Michael J. Ward : Thank you. 
Operator: Thank you. The next question is from Scott Group with Wolfe Research.
Michael J. Ward : Good morning Scott. 
Scott Group : Hey, good morning guys. Wanted to just clarify couple of things on coal, does the -- how much is the iron ore, the new iron ore business and is that inclusive in your commentary on flat domestic? And then when you think about those moving parts of iron ore less export coal, fixed variables on the domestic side, how should we think about yields in 2015 coal, positive or negative? 
Michael J. Ward : Well, the iron ore is a large move. It's both the prior and subsequent move, meaning that it's -- the raw material comes in, is processed and then it goes out as a finished product of iron ore. And the yields you should consider going forward to be very positive. It’s included in your domestic -- that is included in the domestic coal, yes. 
Scott Group : Okay, that's helpful. And then just one for you Fredrik, the past few quarters you've given us kind of some rough parameters or guidelines for how you think about earnings in the current quarter, and this is -- the first quarter is kind of a tougher one just because of the comps and weather last year. Any color or comments you want to give us on first quarter earnings, I'm guessing because given the comps, that's going to be good if not better than just couple of digit earnings growth but any additional color you have would be helpful. 
Fredrik Eliasson: Yeah, I think that's what we tried to lay out, the kind of key assumptions by expense item in the presentation itself. So you know how we're thinking about, I gave you some of the components there. Clearly you're right that the first quarter, I think will be a strong quarter and supportive of our double digit earnings growth for the year. 
Scott Group : Okay, thank you guys. 
Operator: Thank you. The next question is from Jason Seidl with Cowen and Company. 
Michael J. Ward : Good morning, Jason. 
Jason Seidl : Hey, good morning everyone. How are you guys today?
Michael J. Ward : Great. 
Jason Seidl : Just want to focus a little bit on some of the non-coal export side. Obviously we've seen sort of Russia sort of in and now of the wheat market and then this morning I think Shell received some favorable product classification ruling for condensate export. Could you talk about things that could provide upside to the numbers on the exports side for you guys?
Michael J. Ward : You want export in terms of condensate or export in terms of coal?
Jason Seidl : Export in terms of anything.
Michael J. Ward: Non-coal. Most of the condensate that I am aware of, that’s being exported out of this country is mostly being exported over to Gulf. So for example Mexico and the United States couple of days ago have a major exchange of condensates in heavy petroleum products that are being exported and exchanged mainly through the Texas refinery. So that’s where you will see most of it. The East Coast has some condensates that will be exported through York Town but they are very small numbers that impact us. So we are not seeing a lot of that activity that you are describing in the condensate.
Jason Seidl : Okay. And anything on the export ag side?
Michael J. Ward: The soybean market is pretty heavy, mainly out of Norfolk and out of Mobil and we are seeing quite a bit of activity in those areas. 
Jason Seidl : Okay, and as a follow-up, guys getting back to pricing, we saw in our survey that we do to the shipping community that we published yesterday, when you are talking about an acceleration throughout the year, I am assuming this is obviously going to be ex-coal but where are you going to get the most bang for your buck, is this primarily in your truck competitive business?
Michael J. Ward: On the pricing side?
Jason Seidl : Yes.
Michael J. Ward: I think we are getting it across all segments of our market place. If you look margins are tight right now. So we are able to get pricing in those areas in our bulk commodities. We are able to get pricing, particularly in the truck side of the businesses coming up. So pricing right now is very much in favor of the carriers.
Jason Seidl : Okay, gentlemen. Thank you for your time as always.
Operator: Thank you. Our next question is from Matt Troy with Nomura.
Michael J. Ward : Good morning, Matt.
Matthew Troy: Hey, good morning, guys. Question, a lot of people out there talking about the decline in fuel prices, lowering the absolute per mile cost for trucking. Obviously intermodal rates are going to go down as well as the surcharges decline there but just curious academically or in practice are you hearing from any of your customers about a desire to switch from intermodal back to trucking. Some folks are speculating that. I would think now they just can’t switch a whole bunch of business into an industry that doesn’t have capacity but given that prices have come in I figured I would ask the question, are you seeing it, do you see it as a risk to intermodal in 2015?
Michael J. Ward: We absolutely do not. The big issue that has been in trucking remains the big issue in trucking and that is driver availability. Most people that I am aware of don’t want their sons to grow up to be truck drivers. And so truck drivers become an issue. People don’t want to be away from home five, six, seven days. There is issues in passing the drug test to get a commercial CDL. There are barriers to entry and becoming a truck driver and getting new class A trucks purchased and the cost of getting into the business is much higher. So it’s more than just having the capacity itself. It’s all the issues that surround it. So we see intermodal in fact growing. Our intermodal business grew faster last year than the GDP the country did. If you look at the AAR data intermodal in general grew faster than the economy did last year. So I think what you are reading in the period articles is people writing that don’t have anything to write about.
Matthew Troy: Right, but that is more an academic observation, lower fuel surcharges don’t create drivers. I guess my second follow-up question would be natural gas if you look at the futures curve it’s implying pretty much $3-ish for the rest of the year, or well into the year. Just wondering, I know that Appalachian coal and from a switching perspective has been out of the money for some time, should we just think about the vulnerability in your domestic coal business being Illinois Basin at current levels of $3 and have you kind of triangulated in your guidance in that gas price assumption in your earlier comments about 1Q flat for the year. Just wondering what might be at risk, because last time we saw gas down here stockpiles were north of 200 million tons, we’re at a six year low at 130 million tons. So that variable obviously won’t hurt, just trying to triangulate what might be vulnerable if we stay at $3. Thanks. 
Michael J. Ward : Well, about 47%, 48% of our coal business today comes out of Northern App or the Illinois Basin. So we try to look around $3, $3.50 natural gas as a number that if you get much under that, we start to hurt a little bit in our barn. So those are the numbers that we try and [inaudible]. 
Matthew Troy: Okay and Illinois Basin is that -- you're not hearing anything about switching from those customers you have? 
Michael J. Ward : Well, I'm not sure exactly what you're asking about but what we're seeing is a lot of our customers are moving to the Illinois Basin coal, which is good for us because it gives us a longer length of haul, gives us higher RPU and it's a good thing for us. 
Matthew Troy: Well, I was just more talking about the switching sensitivities in the various sourcing basins, but I got it. Okay, thank you. 
Operator: Thank you. Our next question is from Cleo Zagrean with Macquarie Capital.
Michael J. Ward : Good morning Cleo.
Cleo Zagrean: Good morning and thank you, and happy new year. My first question is also with regards to the domestic coal business. Can you help us think just more specifically around the sensitivity of EPS for '15 to plus or minus 5% or whichever you think is good for a band in domestic coal volume, around that base case of flat for this year? What would plus or minus 5% domestic coal do to EPS for '15 given the profitability and the new profits are up in your mix, and also given the fixed variable structure that we've seen effect earnings so far. Thank you. 
Fredrik Eliasson: This is Fredrik. I think that there is a fixed variable that is less of an issue. I think in terms of the sensitivity it's clear that our sensitivity if coal comes down and is not flat, that's going to be sensitivities to our EPS guidance. But at the same time as we said there are opportunities to offset that. So there is a lot of different pieces that goes into our guidance. So I think it's a little bit dangerous to isolate specific pieces. But we add all the things up at this earlier and we think about the business as a whole and some of the vibrancy we're seeing in certain markets and some of the productivity opportunities, the pricing, we feel that we can absorb some of those sensitivities on the coal side, but it's -- we’ll have to wait and see, we're going to have to get couple of quarter under the belt, until we get full visibility into what is doable and what's not doable for the year. 
Cleo Zagrean: Thank you. And my second question is with regards to operating ratio excluding fuel. You've highlighted deservedly that fuel is a pass through. So I would appreciate any help you can give us to think about the performance of the business ex this noise in the revenue and expense line. Are you looking at pass through for ex-fuel, any kind of progression that you have in mind if you can share with us so we can track performance on that basis. Thank you. 
Fredrik Eliasson: Well, the positive lag in the quarter itself here for the fourth quarter was about $23 million and I think $16 million year-over-year. So that was a favorable coming from fuel. We also saw a little bit of favorability because the wholesale prices I think came down faster than the retail prices and it’s the retail prices at our fuel surcharge is tied to. So what we pay to the pump probably declines faster than the fuel surcharge revenue itself. So that’s another benefit that we saw here this quarter. But overall frankly if you look at our margin expansion our operating ratio, this is not a profit element if fuel prices come down, it’s actually generally slightly positive to our path towards the 65% operating ratio longer term. But as I said overall not a profit element. There is some lag effects and here we saw an additional lag perhaps even in the fourth quarter or the fact that wholesale prices went down faster than retail prices. And that…
Cleo Zagrean: So when that -- so I'm sorry, so in a lower fuel price environment, should we expect that you are finding it easier to reach that mid-60 target sooner? 
Fredrik Eliasson: Yes, in the material scheme of things, but if we just think about the fact that you're adding for example $100 million at the revenue line and you're adding a $100 million to the expense line, this is not a profit driver. The operating ratio of that is 100% because you're not getting a margin on that. So as fuel price comes down and your fuel expense goes down a corresponding amount you actually get a little bit of benefit from that. 
Cleo Zagrean: Thank you very much. 
Operator: Thank you. The next question is from Keith Schoonmaker with Morningstar.
Michael J. Ward : Good morning, Keith. 
Keith Schoonmaker: Good morning. I'd like to ask about the 2% decline in chemicals revenue per unit, is this simply a mix issued where growth in crude where the shipper provides the tank car is a having a mixed effect on this or is this something else at work?
Michael J. Ward : Absolutely, you are correct. 
Keith Schoonmaker: There is no re-through to lower margins on this business that I could derive just from that?
Michael J. Ward : Right, that's correct. 
Keith Schoonmaker: And then a follow-up question on intermodal shift, I think the commentary in the quarterly report indicated automotive growth was constrained by customer transportation modal changes. Could you elaborate on that please?
Michael J. Ward : In the early part of last year and the heavy freezes that were occurring some of the automakers pulled business off the rail and went to the haul away carriers, the haul away carriers would not take the business without contracts duration of around six months for obvious reasons and that's what you're seeing there. 
Keith Schoonmaker: Thank you. 
Operator: Thank you. The next question is from Justin Long with Stephens.
Michael J. Ward : Good morning, Justin.
Justin Long: Good morning and thanks. First question I had was on the service. With the locomotives coming on in the next couple of quarters and the service improvement being correlated to this additional power, as you mentioned Oscar, is the expectation that you can get back to normal service levels that we saw in 2013 by the end of the 2nd quarter absent any major weather event?
Oscar Munoz: I think normal service levels, those were record service levels back then. I think we will gradually steam up to that area as the locomotives arrive and then it'll be gradual over the course of the year. Not quite ready to commit to those higher levels that quickly. Again we have a spring peak that goes from week nine to week 23, that's the end of June. So I think there will be some lagging effect but again I think you're going to see the efficiency, the productivity and of course the growth that we've seen altogether start to come together certainly by the second half of the year. 
Justin Long: Okay great. And second question I had was on pricing. I just want to get a better sense of how the pricing environment has improved and I was wondering if you can provide any more color on how recent renewals have been trending. Generally speaking I mean are you seeing something closer to the mid-single digits on renewals versus the 2.5% to 3% overall core pricing that you posted recently? 
Michael J. Ward : Justin my friend, David Baggs tells me numbers are not my friends. So I can't give you a specific number, but I would tell you that I am very pleased with the pricing that we're getting. It has been very positive and you will be very pleased when we report our numbers for the first quarter this year. 
Justin Long: Fair enough. I appreciate the time. I know it's been a long call. Thanks. 
Operator: Thank you. Our next question is from Donald Broughton with Avondale Partners.
Michael J. Ward : Good morning, Donald.
Donald Broughton : Good morning. Clarence, it turns out mommas aren't supposed to let their babies grow to be truck drivers, I always thought it was cowboys but I am glad to learn that this morning. That said, a year ago on highway diesel and obviously that's not the price you all pay but average to $3.96 a gallon, looks like we're on course for it to average $3.10 a gallon or less in the first quarter this year. I know you're getting base yield and you're doing a great job there but just the fuel surcharge overall can you kindly give us some parameters, is the those absence of a fuel surcharge and a drop from what is essentially $4 a gallon to $3 a gallon or almost, is it 1% yield headwind, 2% yield headwind, 5% yield headwind, what does it represent for your overall book of business?
Clarence W. Gooden: I don't think we have the math in front of us to do that. You do have the total fuel surcharge revenue that reported STB, that I also think is actually in our quarter flash. You can look at the total revenue from fuel and then you can model that out, I think you get a sense depending on different highway diesel prices what the impact would be.
Donald Broughton : All right. I'll just back into it that way then. Thank you gentlemen. 
Clarence W. Gooden: Thank you. 
Operator: Thank you. Our final question today is from John Mims with FBR Capital Markets. 
Michael J. Ward : Good morning, John.
John Mims: Hey, good morning. Thanks for slipping me in here. So a question on the chemical book. If you exclude crude oil and oil and gas comments for a minute and just look at some more traditional volumes, can you provide some color or just outlook on demand and pricing and contracting for your activities down in the Gulf and just your non-oil related volumes? 
Michael J. Ward : Yes. The other line of chemical business is growing about 2% to 3%. That's pretty much in line with what the chemical industry has been growing. Actually it’s a little high on the plastics and growing at about 2% to 3% over what it’s been for the last six or seven years. Pricing has been very good in the chemical side of the business, particularly in the renewals that have occurred in the fourth quarter and are in fact occurring in the first quarter. So we are very pleased with what we are getting in the pricing in those areas. Does that answer your question?
John Mims: Yes, no, that’s helpful. And what’s the split between your traditional chemicals versus your oil and gas right now within that segment?
Michael J. Ward: It’s -- oil and gas is major part growing at that portfolio but the plastics part of the business is still the largest by far.
John Mims: Is there a percentage you can give you mean I know you have put out numbers as far as what gas is for the total book, but just within chemicals?
Michael J. Ward: I don’t have it off the top of my head.
John Mims: Okay, all right. I will just back to you some time. All right thanks a lot. The other questions have been answered.
Michael J. Ward: Thank you everyone for your attention and we appreciate. See you next quarter.
Operator: Thank you. This concludes today’s teleconference. Thank you for your participation in today’s call. You may disconnect your lines.